Operator: Good morning and welcome to the AZZ, Inc., Second Quarter of Fiscal Year 2017 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Joe Dorame of Lytham Partners. Please go ahead, sir.
Joe Dorame: Good morning and thank you for joining us today to review the financial results of AZZ Inc. for the second quarter of fiscal year 2017, ended August 31, 2016. As our operator Denise indicated, my name is Joe Dorame. I’m with Lytham Partners, and we’re the investor relations consulting firm for AZZ Inc. With us on the call, representing the company today are Tom Ferguson, Chief Executive Officer; and Paul Fehlman, Chief Financial Officer. At the conclusion of today’s prepared remarks, we will open the call for a question-and-answer session. If anyone participating on today’s call does not have a full text copy of the press release, you can retrieve it from the company’s website at azz.com or numerous other financial websites. Before we begin with prepared remarks, I would like to remind everyone certain statements made by the management team of AZZ during this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Except for the statements of historical fact, this conference call may contain forward-looking statements that involve risks and uncertainties, some of which are detailed from time-to-time in documents filed by AZZ with the U.S. Securities and Exchange Commission, including the Annual Report on Form 10-K for the fiscal year ended February 29, 2016. Those risks and uncertainties include but are not limited to changes in customer demand and response to products and services offered by the company, including demand by the power generation markets, electrical transmission and distribution markets, the industrial markets and the hot dip galvanizing markets, price and raw material costs, including zinc and natural gas, which are used in the hot dip galvanizing process, changes in the political stability and economic conditions of the various markets that AZZ serves, foreign and domestic, customer requested delays of shipments, acquisition opportunities, currency exchange rates, adequate financing, and availability of experienced management and employees to implement the company’s growth strategies. The company can give no assurance that such forward-looking statements will prove to be correct. These statements are based on information as of the date hereof, and AZZ assumes no obligation to update any forward-looking statements, whether as a result of new information, future events, or otherwise. With that said, let me turn the call over to Mr. Tom Ferguson, Chief Executive Officer of AZZ. Tom?
Tom Ferguson: Thanks, Joe. Good morning to all of you in today’s call and we thank you for your continued interest in AZZ. While I was disappointed the way our second quarter progressed due to the week markets I am ever more optimistic about the opportunity ahead of us and our ability to focus our business on higher growth markets and products. Since we don’t have backlog to buffer our results in galvanizing we have to be nimble when faced with slow market activity. Tim Pendley and his team were quick to react with the recovery plan that aligns our capacity with the demand outlook. As welding solution saw a turnaround pushing out, they took the opportunity to realign their operating structure to better match our global customer service oriented business. We demonstrated we could quickly react when the market activity declined in both our galvanizing and welding solutions businesses, but I can’t emphasize enough the distraction in the Nuclear Logistics LLC and forgive me if I refer to it as NLI once in a while, divestiture has been on our lean management team. I can only express my personal appreciation for my staff’s efforts and how the NLI management team responded to the distractions during the quarter, while still managing to take care of their customers, employees and other business demands. While the deal has not yet been consummated we are now able to focus on some critical business development opportunities that have been in the pipeline. We starting fairly strongly in the first quarter, but struggled to get good traction in the second quarter. As we’ve cautioned previously we sense some softness in the regions impacted by low oil prices. And during the second quarter the galvanizing market along the Gulf Coast remain weaker than expected, particularly in West Texas and Oklahoma. The primary issue was volume and since galvanizing does not operate with much backlog the effects were felt quickly. We had also indicated that because of our energy businesses we are not a quarter-over-quarter business and that we believe that the front half of the year was going to be weaker than the back half. While our quoting activity levels for the WSI business, which is driven by refinery turnarounds and power plant outages were solid, more projects were deferred than anticipated and most of those that did execute during the quarter tended to be smaller in nature. Quite frankly our electrical platform is performing well, if not for the oil price related headwinds. Our tubing business continued to suffer from lower oil pads activity and our lighting business finally began to feel the impact of low rig activities. Our enclosure businesses continue to perform well, while our bus businesses did reasonably well, they did not see any of the higher margin emergency jobs like they did last summer. We also faced the year-over-year comparative headwind at NLI of the $14 million in the second quarter related to large shipment of the now completed Westinghouse new plant projects. Consequently, we took the opportunity to realign some of our operations, we took some G&A reductions in WSI to reduce our overhead cost, close the galvanizing site in Mississippi, shuttered a site in West Texas and re-purposed to continue Oklahoma site to support our new metal coatings offerings. We do not believe any of these actions will negatively impact our revenue this year, but should provide us a more cost effective operating structure that is better suited for supporting new growth more efficiently. We recently announced an agreement with Westinghouse to divest our Nuclear Logistics LLC business. As I say at the time of the announcement Westinghouse is a premier player in the nuclear industry and can more effectively grow the NLI business due to its broader product portfolio and industry presence. We view this as a good deal for shareholders, employees and customers. We also believe this allows us to focus on our core businesses of industrial welding solutions, galvanizing metal coatings and our electrical products and also return to pursuing the healthy pipeline of M&A activity opportunities to build these businesses. We have numerous opportunities that have been on the back burner for a while now and so we should be able to proceed more quickly with these. We see mix market dynamics that present a combination of challenges as well as opportunities. Despite the volatility of recent international events the election year we feel confident in our strategic plan to grow our operating platforms in a fiscally responsible manner. We will invest in key initiatives to drive organic growth and operating excellence. We remain focused on growing organically with expanded products and services, while efficiently deploying capital that will position AZZ to continue executing on our growth and performance plans. As we look forward we have a strong backlog of $352 million in spite of bookings being off with several large electrical projects pushed into Q3 and Q4. WSI activity is also pushing out as refineries continue to remain focused on cost controls due to lower margins, large maintenance events are being deferred in favor of just repair and go type work, nuclear power plant outage cycles have normalized, we’re winning our share and we also do have some large nuclear projects already booked that we’ll begin in Q3. The bright spot for electrical platform is the increase in transmission and distribution work as we are seeing numerous substation opportunities for our enclosure and switchgear business. Unfortunately our lighting and tubing businesses in spite of being a small portion of our portfolio are feeling the impact of the low rig activity in the oil patch. Our galvanizing segment still face these headwinds on the Gulf Coast related to the impact of sluggish oil and gas spending, but we are gaining strength in other sectors including bridge and highway construction recreation and original equipment manufacturers to help offset some of those current headwinds. While federal credits were approved and extended for solar power activity remain somewhat slow since companies now have some time to evaluate those projects. Our volumes have drifted lower as we are focused on maintaining price levels and since we see this activity continuing that’s why we chose to take out some of our capacity in the affected areas. The outlook for our energy segment is mixed for the balance of this fiscal year, but brighter as we look into fiscal year 2018. We continue to position ourselves to increase our share of international opportunities, while improving our operational efficiencies and focusing on margins. I'm not thrilled with how the quarter turned out. We’re having a solid year continuing to structure our platform so that we can better focus on core growth and improved earnings and cash generation. We’ll continue to focus on improving our customer service levels while focusing our cost control and are maintaining a healthy M&A program. The agreement to divest Nuclear Logistics LLC is a major step towards more strategically and operationally focused AZZ. While we still have a couple of non-core business units to address we can now be more focused on strategic growth initiatives. We’re particularly interested in expanding our enclosure business, which is a business I like due to our capabilities and the limited exposure to low cost [inputs] [ph] it has. We’re also focused on expanding our service offerings for medium voltage and high voltage bus. We continue to have good uses for our cash both within the existing businesses and also for M&A, due to our strong cash flow outlook we are increasing our dividend to $0.17 this quarter. Additionally as we have deleveraged our balance sheet and continue to generate strong cash flows we’re looking to buy in some of our stock to minimize the dilutive effects, equity based compensation and our employee stock purchase plans had. We’ve suspended guidance for fiscal year 2017 until we complete the divestiture of Nuclear Logistics LLC. While we anticipate the deal will be closed within the next several weeks, we do not want to gamble on the timing or the final accounting adjustments since operating control could pass anytime between now and December 31st of this year. Our businesses remain sound, our backlog is strong and we continue to seek opportunities to grow our top and bottom lines for the balance of this year. Given the market uncertainties we are even more intently focused on cleaning up our platforms as well as adding some important acquisitions to our portfolio this year. Now I'd like to turn it over to Paul Fehlman to cover the financial highlights.
Paul Fehlman: Thanks, Tom. For the second quarter of fiscal year 2017 we reported net sales of $195 million, a decrease of $19.2 million or 9% below the second quarter of fiscal 2016. Net income for the second quarter of fiscal '17 was $10 million, a decrease of $7.2 million or 41.9% compared to the second quarter of the prior year. The $7.2 million decrease included $8 million of realignment charges taken into the second quarter across both the galvanizing and energy segments. Reported EPS including a realignment charge saw the $0.38 per share compared to the second quarter of fiscal 2016 EPS of $0.67. We expect the realignment to benefit the company by approximately $6.2 million per annum well into the future. Our backlog finished at $352.8 million up 4.3% versus the second quarter last year and our book-to-bill ratio for the second quarter of fiscal '17 was 0.99 compared to 1.09 in the second quarter last year. Gross margins fell to 21.5% from 25% in the second quarter year-over-year, primarily due to around $7.6 million of realignment charges reducing gross profits. SG&A which included a little over $400,000 finished at 13.8% compared to 12.6% for the second quarter last year, but was actually down on a dollar basis year-over-year despite the realignment. The result was a reported second quarter operating margin of 7.6% compared to 12.3% in the second quarter of fiscal 2016. Our effective tax rate of 10.4% for the second quarter was well below the rate from the second quarter last year of 21.2% stemming from certain favorable state tax benefits driven of the realignment charges, as well as by the adoption of newer accounting pronouncement regarding employee share based compensation. Cash flow from operations for the quarter was $40.3 million compared to $50.1 million in the second quarter of last fiscal year. As for our second quarter segment results, second quarter revenues in our energy segment were down 11.9% to $97.6 million compared to the second quarter of the prior year, while operating income fell 9% to $8.2 million compared to prior year, as we recognized around $700,000 of realignment charges that effected the margins. In the segment -- gross margin of the segment improved from 24% in the second quarter last year to 24.2% in the second quarter of the current year despite the inclusion of some of the charges to gross profit. In our galvanizing segment, second quarter revenues fell 5.8% to $97.4 million compared to the second quarter of last year, while operating income fell to 15.4% inclusive of realignment charges of around $7.3 million worth about 7.5 percentage points of margin compared to the same period last year. I believe that the steps taken to shut down the two galvanizing plants, repurpose a third and execute several smaller projects to drive operational and cost efficiencies were an appropriate response to lower volumes in galvanizing, as well as a softness in certain energy markets. The expected efficiencies should begin to be realized almost immediately. As part of our commitment to shareholder value, we have recently announced a 13.3% increase in our quarterly dividend from $0.15 per quarter to $0.17 per quarter and will begin as Tom said to look at modest share repurchases to counteract the dilutive effects of share compensation and employee share purchase programs into the future. We continue to leverage our ability to generate cash and the potential sale of our Nuclear Logistics business should support our strong balance sheet and allow us to strengthen our core operations going forward. With that I'll turn it back to Tom for concluding remarks. Tom?
Tom Ferguson: Thanks, Paul. The key takeaways I would like to leave you with are these. We have a solid balance sheet, strong cash flows, a great portfolio of products and services, significant international growth opportunities and a talented and seasoned leadership team. We'll continue to focus on growing our galvanizing and metal coatings business, both organically and through targeted acquisitions. We will continue to expand the presence of our electrical businesses internationally, both directly and through joint ventures. We're now beginning to see some benefits from our accelerated emphasis on operational excellence and customer service at both WSI and in our electrical businesses, but is still early innings for these endeavors. As I've stated before, we're not a quarter-over-quarter business due to the impact to refine our turnaround and power plant outage cycles as well as the dependence of some of our businesses on large projects. We continue to expect the solid year in fiscal year 2017 with earnings skewed to the back half of the year. Now we'll open it up for questions.
Operator: Thank you, Mr. Ferguson. We will now begin the question-and-answer session. [Operator Instructions] And your first question will come from John Franzreb of Sidoti & Company. Please go ahead.
John Franzreb: Good morning, guys.
Tom Ferguson: Hi, John.
John Franzreb: I'd like to talk a little bit about the galvanizing restructuring, could you tell us or I think firstly that the facilities you're closing were they part of legacy business, or they were acquired with Trinity, can you just clarify that firstly?
Tom Ferguson: Yes, these were sites that we acquired, one of which was the one in Mississippi at Kosciusko was really close to our Jackson facility. But we thought it could give us some extra capacity if that petrochemical boom ever took place. So that’s why we went ahead and kept it open. The West Texas, that was really dependent on oil patch infrastructure build out. And as it turned out a lot of that hadn’t occurred so looking at it - we own that one so we’ve shuttered it for the time being and if we get a sudden boom [indiscernible] in the oil production site of West Texas we'd be ready to take advantage of it. And then the other one was a legacy site [indiscernible] that’s just, we had four sites up in that Oklahoma area. And we needed capacity for some of these new metal coating initiatives that we have underway and that just made a perfect site given its location to repurpose that site.
John Franzreb: Okay. So your intention is not to sell the properties, but to kind of mothball them until you need them or will you sell some and keep others?
Tom Ferguson: We'll wait on that. We haven't called that -- made that decision. We're looking at different options. And also looking to see to make sure that we can support the business that is out there through our existing facilities. So we'll look at that as time goes on.
Paul Fehlman: To clarify one thing on that. The first one was a leased property and that one will be a push back. So we do own the second.
John Franzreb: Okay. Because I guess I'm just kind of curious how hard is it to restart the galvanizing facility, I guess something I’ve never heard of since I have been covering the company.
Tom Ferguson: It's easy. It's basically hiring and training people, the big issue is making sure we get a good plant manager, good ops support, but getting people hired in that area would be quick. And getting equipment up and running where we’ve shut it down would be pretty straightforward.
John Franzreb: Okay, fair enough. And just one other question and I’ll let someone else get in. Regarding restructuring charges the $6.2 million in annual savings, how much should we allocate to the galvanizing business and how much should we allocate to benefits on the energy side?
Tom Ferguson: The majority of the benefits will be on the galvanizing side, it’s probably I’d say 75-25 galvanizing versus energy, is about right.
John Franzreb: Okay. And would those savings in and of itself bring you back up to the 25% op margin that you kind of were doing recent prior years in galvanizing?
Tom Ferguson: The only impact we had in the quarter was really volume, or lack there off. So with the restructuring and getting our capacity aligned with the market outlook we’re still on track to get back to the 25%. I think we’ll be real close to that by the end of the fiscal year just as we intended.
John Franzreb: Great, thanks a lot, Tom, I’ll get back in the queue.
Operator: And our next question will come from Brent Thielman of D.A. Davidson. Please go ahead.
Brent Thielman: Hey good morning Tom, Paul.
Tom Ferguson: Good morning.
Brent Thielman: I want to come back to kind of the turnaround maintenance activities, I thought these were pretty well planned in advance I'm just trying to kind of understand what might have changed versus your expectations, is it push outs or were they just cancelled all together, and then Tom any thoughts on kind of how things are shaping up for the fall outage period, does it look softer or stronger than last year?
Tom Ferguson: Yes, I think as we went into the quarter it’s a fairly weak quarter anyways for turnarounds and outages, but we took advantage of some opportunities. Last summer we had some big international things that helped us and this year we’re going to see those. So that’s why we -- going in we had an idea it might be weak and it was, but as we look at the fall season there is a lot of activity the concern we have there is a lot of pushed into the latter part of the season, which means it could push over into the winter months. We’re seeing quite a bit of the smaller emergent type work, which indicates they’re just controlling expense, the refineries were just controlling expenses. On the power side though we’ve seen good activity and we actually have already booked several good sized projects for the fall season, which we’re excited about. So it’s a mixed bag we’d like to see more activity, but on the other hand some of the stuff that’s going to push actually helps us because we can handle, we’ve only got so many field superintendents, so we can only handle so many jobs whether they would be smaller emerging jobs or larger ones. So as we’re looking at what we’re seeing right now the activity is picking up, but it’s a little softer than the last fall quite frankly.
Brent Thielman: Okay, appreciate that. And then I know you can’t get too specific, but in terms of some of that the business development opportunities obviously on the M&A side are some of these things large enough to offset what you lose from the sale of NLI? Just trying to get a sense how quickly you might be able to offset some of that lost revenue and EBIT from Nuclear Logistics?
Tom Ferguson: Yes, we sure wish that we had better time -- originally when we were looking at stuff we were hoping we could maybe get a deal the size of a PEI done and then not too far after that go ahead and have a divestiture. So never works out the way you’d like. We’ve got enough in the pipeline; a lot of it is focused on the galvanizing and metal coating side of things, some of them are a little larger, but for the most part none of it -- all of those are onesie, twosie kind of shop deals. But then we’re looking at some bigger things that on the energy side that would help us offset that. The only caution I’d make is once again we’ll never get the timing quite right, but would sure like to get some of these things done the balance of this year.
Brent Thielman: Yes, understood. And then one more if I could, the volatility in zinc prices still quite interesting and maybe just an update on pricing initiatives, capabilities to offset some of the increases we’re seeing in the market again?
Tom Ferguson: Yes actually on the galvanizing side, we’re seeing prices actually up year-over-year again this -- what you’ve seen reflected in these numbers is really just a volume issue, pricing was good, it was actually up. And that was both in our legacy stuff and in the acquired. If you talking about zinc cost, then we continue to see that move around most of it kind of trending up. We buy, our kettles [ph] have several months of technically we have several months of zinc inventory in our kettles [ph]. So we don’t see the media effect of that, which also gives us time to work on the pricing side to ensure that we don’t have any cost impact from it or margin impact from it.
Brent Thielman : Okay, thank you.
Tom Ferguson: I don’t know if that help, but it’s just kind of volatile right now.
Brent Thielman : It does. Thank you.
Operator: [Operator Instructions] The next question will come from Noelle Dilts of Stifel. Please go ahead.
Noelle Dilts : Hi guys. Good morning.
Tom Ferguson: Good morning, Noelle.
Noelle Dilts : I just wanted to go back to the -- I’m going to call it NLI divestiture. And can you just help us and give us the favor for sort how you were thinking about the performance and contribution for the operation for this year from a revenue and profitability perspective just so we can kind of get a sense of what different into the model?
Paul Fehlman: We never go down to that level and we’ve actually intentionally not giving out the details on the deal yet. But it was actually performing better than prior years and I think that it definitely had improved over the last couple of years.
Tom Ferguson: Yes I want to be cautious on that the quarter itself had actually perform lower than Q2 last year, because of those projects as we mentioned. Fundamentally the margins in the business are up, the issue we have is we’re not a big player in nuclear. And so we did not view that as a business we could grow. So I think we’ve talked about it in the $50 million to $60 million of revenue as an overall level for that business. And I don’t know that we saw it any different than that. And we weren’t chasing the large projects because of the issues we’ve had on those past large projects not to mention the factors, there is no large nuclear plant being build other than at least in the U.S. other two that have been on the construction for years. So Westinghouse is just a better fit, it allows them to be able to grow that business because of their much stronger presence, larger portfolio and for us it won’t have the up and down impact on our quarters because that is where some of those big projects tended to flow through. So but overall, I think we’ve mentioned from time-to-time it’s still a $50 million to $60 million business. Our focus had been on the profitability and we’ve made a lot of progress in terms of the margin in the business getting the operational fundamentals right. And so was a business that if we needed to keep it in trying to find the right fit for it, which fortunately we did. It was one we were going to be perfectly comfortable running just it’s been our understanding that for a company our size it has those inherent ups and downs and a little more risky just because of the project oriented nature of it.
Noelle Dilts : Right, okay. And then going back to that $6.2 million per year saving associated with the realignment initiatives, how much do you think it relates this year? Do you think you’ll recognize the full savings this year or will part of that fall into next year?
Paul Fehlman: Most of its going to flow in the next year, because a lot of it was asset write-offs. We did affect some people in the plants that we closed. And it did affect some management folks in the WSI business particularly. But a lot of it asset write-offs, the depreciation effect and those things rolled, we’ll get a full year benefit of it next year.
Tom Ferguson: Less than half Q2.
Paul Fehlman: Yes, definitely less than half. Probably I put it more like 25%, 30%.
Noelle Dilts : Okay. And then just circling back to the galvanizing business, you spoke about just a little bit in your prepaid comments, but can you give us just a little bit more detail on what you’re saying in some of the end market verticals particularly transmission? And then also if you could comment on highway and street spending, where if you look at the sense of square data that investments there have been a little bit weaker I think than expected so maybe if you could comment on what you're seeing in that space?
Tom Ferguson: Yes I think on the T&B side, we're seeing more substation work and things like that. And that helps obviously our electrical businesses more than our galvanizing side. So we're happy with that that's replace some of the -- for the electrical side it's replace some of the pipeline activity that we've had the last few years and that it has been somewhat reduced. In terms of the solar, we’ve seen solar op as I mentioned in my comments. And so that's usually a big piece of business for some of our plants and with that been off. And there hasn't been other power generation construction at least not of any major significance. So we've seen that off. The pieces that are the bridge and highway has been a little more muted we tended to have facilities in areas that have done fairly well in terms of bridge and highway construction some of our new product offerings are focused on that. So we think there is just I don't know whether it's election year delays or whatever. But we still look for that to be a positive for us as we get towards the later part of the year and then as we go into the next year.
Noelle Dilts : Okay, great. Thanks a lot. I'll get back in queue.
Tom Ferguson: Okay.
Operator: The next question will be from Andrew Storm of Cortina Asset Management. Please go ahead
Andrew Storm: Hey guys, thank you. So I'm just curious, [indiscernible] I think you have $10.5 million in expense for the amortization of intangibles from the prior deals. So with NLI getting sold is some of that kind of go away?
Paul Fehlman: Yes.
Andrew Storm: Can you give us an idea of how much?
Paul Fehlman: Actually that's one of the variables. Some of the variables here with the timing and the relative size of the balance sheet of not only electrical, but also NLI at the time of the closing of the deal. So that will be worked up then. Yes that would be one year you get a lot more granularity when we are able to talk about it.
Andrew Storm: That’s fine. Another way to ask that is if you had not done this deal roughly what would it have been in 2016, $2 million, hundreds of thousands?
Paul Fehlman: If we have not done this deal I'm sorry?
Andrew Storm: I'm just asking what would the full year amortization have been had you not sold NLI? Because I'm just trying to figure out what next year’s impact is more than…
Paul Fehlman: Okay NLI was about 300 a month. $3.5 million or so.
Andrew Storm: Okay great so. My next question is just looking at galvanizing services for the last decade, the only period you ever had real negative declines on a year-over-year basis, you had one quarter in '13 and then in 2009 where it was declining 20%, but even then it was only three quarters in duration. And part of that I suspect was also commodity pricing. So it's kind of surprising to see the year-over-year decline especially given some of the acquisitions you've done. So it implies maybe organic might be a little worse. Is there something changed, or do you think it's just sort of a bad timing and confluence of events that would do it, because I mean the history suggests it happens rarely and not that long, but…
Tom Ferguson: Yes and we're viewing it that way too that this is going to be a relatively short cycle that we’ve got lots of initiatives as well as the right sizing the capacity when you look at the impact on margins, it was too very underutilized plants that we’re bringing those margins down. So that's why we're pretty confident that the fundamental margins that we continue to talk about in the 25% range are still there. And so the fundamentals of galvanizing are still really, really good.
Andrew Storm: But I think you have about 50 plants right give or take?
Tom Ferguson: Yes 41-42.
Andrew Storm: Okay. So two plants completely going away if they were underutilized wouldn't cause near maybe 10% organic decline in the quarter maybe high single-digits. So it just sort of sounds like it's a broad maybe a broad weakness or was it really just more localized?
Tom Ferguson: In terms of volume, Yes there was broader impacts on the volume that we talked about which is the lower than -- significantly lower solar business. The fact that we’re still ramping up the new Reno plant. So you’ve got the investment there without -- it’s doing just fine. We’ve anticipated it will hit its stride by the end of the fiscal year, which generally we still feel is true. And then the two plants but keep in mind one of the things that happens in those two plants now that work we anticipate just move through our existing plants so we get improved absorption at existing plants, we get rid of the expensive cost of the ones we’re shutting down or re-purposing. So you basically have three plants that are affected and -- but the volume was more than just West Texas, Oklahoma it was we’ve not seen the petrochemical build out that was anticipated in the Gulf Coast which -- we’re seeing activity just not the activity that everybody would like. The Texas economic fallout in West Texas because other parts of Texas are just fine, that had an impact and then solar as I mentioned which is a nice chunk of business for some of our Western plants. We still view it as a pretty short-term plant.
Andrew Storm: Right. And so you highlighted bridges and highways as a positive if I mean, who knows who’s going to win the election, but it sounds like further talking for stimulus how meaningful is that if there was an increase in transportation spending, highway expending et cetera?
Tom Ferguson: That would be pretty significant for us because that tends to have a lot of galvanizing to it, particularly with some of the products we’ve got that we’re focusing on that industry. So I would say that we have a very positive impact for this.
Andrew Storm: Okay, great. Thank you.
Operator: Our next question will come from Jon Braatz of Kansas City Capital. Please go ahead.
Jon Braatz: Good morning, Tom, Paul.
Tom Ferguson: Hi, John.
Jon Braatz: Returning back to the galvanizing question on organic growth if you were maybe to take out the revenue losses in your weaker markets Oklahoma and Texas what kind of numbers are you seeing organically in other geographical markets are they still down too?
Tom Ferguson: I think in general we’re up in most places on a year-over-year basis other than some of those Western U.S. plants that are affected by lower solar activity. So generally we’re…
Jon Braatz: I was just looking for a number on a year-to-date basis.
Tom Ferguson: We’re actually we’re up 3.4% if you take a year-to-date comparative in terms of volume. So and we anticipate returning to normal volumes as this year goes on. So it was kind of a confluence of things in the quarter, but yes a lot of our plants are doing well.
Jon Braatz: Okay good. And then Paul is it possible or could you report NLI as a discontinued operation next quarter or if the sale extended beyond the third quarter into the fourth quarter?
Paul Fehlman: Yes that’s what we will do, Yes.
Jon Braatz: You will report it as a discontinuing operation?
Paul Fehlman: We would report it as a discontinued operation in the next quarter; assets held sale and we would also have, if it closes during the quarter than you would see a more sharing that.
Jon Braatz: Okay good. And then lastly PEI is how that performed in the quarter is it matching your expectations when you acquired it?
Tom Ferguson: It’s one of the reasons as I keep talking about how much I loved it enclosure business, it had a really, really solid quarter and it’s exceeding our expectations. So and integrating nicely into that enclosure structure that we have. So, great team there, great products, and they had a really, really good first quarter for us.
Jon Braatz: Okay, all right. Thanks so much.
Tom Ferguson: All right.
Operator: The next question will come from Bill Baldwin of Baldwin Anthony Securities. Please go ahead.
Bill Baldwin: Yes thank you and good morning. Can you offer any color on inside as to what kind of expectations you might have regarding your joint venture announced recently in Saudi Arabia? Looking out over two or three year period, just benchmark that if you can in some way as to how important might it be to your energy division.
Tom Ferguson: It's a positive for us we've talked about things like that for some time. To put it in perspective though it's -- they're just building a factory and so it really won't be in operation until sometime next fiscal year. I think it's based on how I'm looking at. For the most part it's more defensive than the growth oriented. We needed a local presence because that's the way things are going in the Middle East. It lowers our -- should lower our cost of production, give this better access to those customers. But the kinds of projects we've had in particularly in the Middle East particularly for our high voltage bus business, those projects should continue. But I'd say view this as more defensive than anything that's going to be a big positive for us. I don’t know what else to say about it. It was the right move to make because I think we would have lost projects going forward if we didn't have that local presence. And so that's why it was an important step for us.
Bill Baldwin: Have you indicated Tom whether or not this is a 50-50 joint venture or what the breakdown is on the percentage of it…
Tom Ferguson: Yes we actually took a large minority stake I don't know that we’ve published, we haven't published it. But we are a…
Bill Baldwin : So let's follow-up there with this issue, will this joint venture still value to ship product into the Middle East like you have been doing from the U.S.?
Tom Ferguson: Absolutely that was one of the things. Certain components we will continue to ship from the U.S. manufacturer for some time going forward until that plant is fully up and running and offer lot of the higher value add items would be built in the U.S. The issue we’ll have is the local labor will reduce our overall cost of the product to serve the market as well as reduced transportation cost and final sampling and give us better field support in it.
Bill Baldwin: Okay, thank you.
Operator: The next question will be a follow up from John Franzreb of Sidoti & Company. Please go ahead.
John Franzreb: Yes guys. Given PEI assume better than expected and I'm sure you covering out NLI right now. Could you give us a sense what the backlog would look like organically on a year-over-year basis, was it up or down?
Paul Fehlman: In the energy side it would have been down just a hint. It would have been down just a hint, down slightly.
John Franzreb: That stripping out, PEI, NLI?
Paul Fehlman: Actually stripping out NLI, sorry. So I was just stripping out PEI. So [indiscernible] would have been down. Yes I'm not looking at an NLI backlog number, but…
John Franzreb: If I imagine some of the Westinghouse in the backlog.
Paul Fehlman: I'm thinking of what I'm planning to thinking through is last year at this time we still had all -- we got rid of most of the Westinghouse backlog. So it was right at that pivot point where the backlog was normal in NLI. So we were actually doing year-over-year NLI. Pull it out zero compared to last year's spend would be way down. Yes and that's why I think that's where we're struggling is to pull it out completely and we still have some period where we’re going to be shipping that backlog and it still booking business.
John Franzreb: So the legacy business plays flat or modestly up you are saying now?
Paul Fehlman: I think the legacy business on -- where we were down was the backlog in WSI was down a little bit as we mentioned. The backlog in the oil and gas in the tubing and lighting business was down year-over-year as we’ve talked about. The electrical, I think if you take out PEI still would have been pretty close to flat maybe down just adhere. And then as I also mentioned, we had several large projects that we’re just on the verge of booking, you miss a quarter by a week or two and just that nature of that business. So we’re very confident of the backlog we have in place. On the electrical side on a go forward basis, as well as how it’s backing up for what we’re going to have going into next year.
John Franzreb: Got it, got it. And is there any concerns of the NLI divesture required any kind of FTC approval given how few players are on the marketplace?
Paul Fehlman: No. We don’t anticipate anything at this time given the size.
Tom Ferguson: Yes, we’re below the threshold.
John Franzreb: Okay, perfect. And one last question, the full year you're leasing and giving back. Are you taking equipment out or kind of lease re-lease it to somebody else?
Tom Ferguson: Most of the equipment we’re retired from -- as far as the assets we’re writing off, were those are just retired assets and…
Paul Fehlman: And there are some pieces being repurposed on that particular plant.
Tom Ferguson: Yes, so right where we had a cattle and we can move the cattle, we’ve done those things.
John Franzreb: Okay.
Paul Fehlman: Stuff that was depreciated down there may not had a few year life but we are just taking the write-offs and…
John Franzreb: Well, I’m just going to ask you. I just want to make sure that that the -- at least with the facility was at least lease it out to another person who start to galvanizing facility…
Tom Ferguson: No. At least this was one of the -- the one that we’re leasing and were given back was one lease from trinity. And so they’re not going to be based on agreements and everything else that’s not definitely not going to be their intent.
John Franzreb: Okay, great. Thanks for talking my questions guys.
Tom Ferguson: Sure.
Operator: The next question will be a follow up from Brent Thielman of D. A. Davidson. Please go ahead.
Brent Thielman: One more from me. Just assuming NLI is out in the picture, Paul what do you think kind of the run rate CapEx would be on annual basis?
Paul Fehlman: Changes year-over-year, we do have maintenance CapEx of about $20 million going forward and then it really depends on what we’re doing with internal, the organic type of stuff that we’re doing with CapEx. But sounds like you build new model. And we build shout in the 40s for the highest that our maintenance is about 20. So it was something in the number.
Tom Ferguson: Yes, I think this year, as we go forward we get through this year. We had some larger capital over the last few quarters for WSI, because of some of their new project investments and NLI was not a capital in terms of business, most of the CapEx that was spent on that was probably couple years ago to get it into some expanded product offerings and update its equipment. So NLI is not a capital intensive business, it doesn’t affect our run rates a lot. What we are doing is we’ve also made some of these investments on the new product offerings in galvanizing and a lot of those there are still some to go this year, but for the most part we’re going to get back to maintenance plus something type of level.
Brent Thielman: Okay. So maybe the back half you are somewhat over that quarterly run rate?
Tom Ferguson: Yes, we’re not spending anywhere close to the CapEx that we had budgeted for the year. And particularly as we’re pulling back on some things -- that I won’t say pulling back we’re trying to manage tighter to on some things. And then just to focus on the day-to-day business given the fact that we continue to run a real lean organization so there are just not resources to do some of those things. And we are re-prioritizing some of them to ensure we're focused on the businesses that will have the better growth opportunities as we get into next year. So Yes we're standing at a lower level than anticipated that's fair.
Brent Thielman : Okay thanks guys.
Operator: And ladies and gentlemen this will conclude our question-and-answer session. I would like to hand the conference back over to Tom Ferguson for his closing remarks.
Tom Ferguson: All right. In closing I'm confident we will make progress on the M&A front while improving the structure and focus of our operating platforms as we continue to execute in fiscal year 2017. And I look forward to discussing the impact of these activities when appropriate. And actually we will be announcing these as quickly as we can. Thank you for participating in today's call. We look forward to talking with you again at the conclusion of the current quarter. Again thank you and have a great day.
Operator: Ladies and gentlemen the conference has now concluded. Thank you for attending today's presentation. You may now disconnect.